Operator: Good morning and welcome to Cementos Pacasmayo’s Third Quarter 2014 conference call. All lines have been placed on mute to prevent any background noise. After the presentation we will open the floor for questions. At that time instructions will be given as to the procedure to follow, if you would like to ask a question. It is now my pleasure to turn the call over to Rafael Borja of i-advize Corporate Communications. Sir, you may begin.
Rafael Borja: Thank you, and good morning to everyone. I’m very pleased to welcome you to Cementos Pacasmayo’s conference call, to discuss today October 28, 2014, its third quarter 2014 results. This call is for investors and analysts only, therefore, questions from the media will not be taken. If you are a member of the media and have questions, please contact i-advize following the call at 212-406-3693. I will now introduce our speakers, presenting on behalf of Cementos Pacasmayo are Mr. Humberto Nadal, Chief Executive Officer; Mr. Manuel Ferreyros, Chief Financial Officer; and Ms. Claudia Bustamante, Head of Investor Relations. They will be discussing Cementos Pacasmayo’s results per the press release distributed yesterday. If you have not yet received a copy of the earnings report, please visit www.cementospacasmayo.com.pe, in the investors section to download a copy or contact i-advize in New York. Comments made today by Cementos Pacasmayo’s management may contain forward-looking statements, which are subject to various conditions that may differ materially. We ask that you refer the disclaimer as guidance on these matters. It is now my pleasure to introduce Mr. Humberto Nadal, Chief Executive Officer of Cementos Pacasmayo for his presentation. Please go ahead, Humberto.
Humberto Nadal Del Carpio: Thank you, Rafael, and good morning, everyone. Thank you everybody once again for joining us this morning to discuss our performance for third quarter of 2014. As usual, I will begin with a very brief overview of Peruvian macroeconomic situation and provide an update on Pacasmayo’s both main achievements in the quarter and its current projects. And I will hand it over to Manuel to discuss more in detail the financial review for the period. Of course, after that the whole team including Claudia will be more than happy to take on your questions. In third quarter, despite the fact that the national cement demand experienced a slowdown, we were able to continue to achieve (inaudible) in operation. The slowdown in cement sales volumes was mainly due to a general economic slowdown due to both internal and external reasons. Both the fall of global metal prices as well as slower pace of production and to climate-related issues impacted negatively the overall economic activity in Peru, especially in the north in the case of fishing, and as a consequence consumer spending, public and private investment were affected, resulted in a decline in cement demand. Looking ahead, rolling to 2015, we expect and we are really convinced that cement demand will pick-up as both private – private investment begin to react to government led stimulus packages executed in the first-half of this year, especially the third package that was announced some days ago. We believe also there will be an important increase in public spending due the finance for construction and for construction maintenance, both conducive to increase our sales volumes. Moreover, in 2014 there have been important delays in public spending due to many reasons, but we have to point out the regional elections in October, which in the past always meant more spending, in this case because of a particular environment with many politicians are in jail, and many leaders in complicated political situations. This money will not be spending, they don’t occur. We expect with new politicians in place, they will begin spending both the budget they’re carrying over from the previous year, and the one in 2015. It will also keep pick-up investment and demand for cement. In particular in our region, we are (inaudible) investments of approximately of $2.5 billion in infrastructure, which should have a positive impact on cement demand in 2015 and 2016. I would like to highlight few projects in the region, which are done in the past, as I notified earlier already on the way. The largest being the modernization of the Talara refinery, expected to start the demand in cement in six months. At the beginning of this year, we thought that the demand will begin already in the second-half of 2014, it doesn’t. It’s been delayed a little, but we are now – we are sure that this will begin in the coming year. The other two projects are the extension of the North Highway and the construction of the third phase of the hydraulic infrastructure of Chavimochic. All expected to begin cement demand in the first-half of the coming year. Chavimochic is especially important because the unit demands for construction of the panels, which will demand cement. Once they are ready the resource for additional 63,000 hectares of agricultural land that need to be improved as well as another 48,000 irrigated. All of these will create 150,000 jobs in the stage of the maturity of the project which will directly translate into increased levels of cement demand. The third quarter, we can point out to some operational achievements. Although this quarter we saw the decrease of 9.7% in cement production in the Pacasmayo plant, the Rioja plant continues on a strong result due to its expanded capacity, increased its production by 9.4%, or reaching a cumulative increase of 27% during the year as compared to 2013, these contributing to maintaining a stable result for production by both plants during the year. In terms of clinker production the Pacasmayo plant had a scheduled stoppage during the quarter, in preparation for a multi-plant setup, what the company will experience whilst they are still operating next year. We have started switching off some of the less efficient units in Pacasmayo, resulting in a lower utilization rate. Lastly, compared 2013, we’re happy to inform that quicklime sales volume increased a healthy 44% in the quarter and almost 49% for the year, in response to consumer demand of this quarter. I want to especially point out in the quarter that we are continued with our cost control and investment program aimed at optimizing the administrative structure of the company. This program has resulted in significant savings in operating expenses, which will continue to contribute to help the operating margins going forward. With respect to our projects, initially we have invested around $140 million and approximately close to $195 in the beginning towards the continued production of our Piura plant, which I’m very happy to inform that as we speak is on time and on budget, which will begin operations in the second-half of the next year. In the short-term, this plant combines all the efficiencies we are experiencing in operating expenses and administrative expenses discussed before, should contribute to achieve better margins, should you want to be eliminating the need of imported clinker, contribute to decrease cement production cost and reducing our production cost due to the location of the plant. Therefore, we expect our margins to improve importantly on the second-half of next year. Lastly, I would like to provide an update on the Phosphate Project, with our recent developments, the value engineering, as I had indicated important but end up savings in terms of design, construction and operation of the project, including our modification in the mining method to make it more efficient. The findings now, the consortium led by Pacasmayo and with a participation of Mitsubishi, we have decided to proceed to take the value engineering to basic engineering level to make sure that these savings are 100% of our own and also try to identify even additional service. As soon as we start it, completely we’ll update the feasibility study and we will communicate any additional information to the project. I will like to close by reaffirming that although the quarter has presented us a very tough environment we have navigated by optimizing operations and reducing our administrative expenses. We remain optimistic that we’ll be able to maintain the margins in 2014, despite weaker volumes and look forward to a much better 2015, both due to a slower demand for the reasons I just pointed before and the initiation of the production by the Piura plant. We will continue to take (inaudible) and operating position in the region to deliver value to our shareholders. That being said, I will turn now the call to Mr. Manuel Ferreyros, our CFO who will review the financial performance for the quarter.
Manuel Ferreyros Peña: Thank you, Humberto. Good morning, everyone. Thank you for joining us today. I will discuss the financial results of our third quarter in more detail as per the press release issued yesterday, focusing on the financial highlights before we proceed to the Q&A session. During the third quarter of 2014 as Humberto mentioned there was a decrease in sales volume of cement due basically to a nation-wide economic slowdown that effected public and private investments. The gross profit margin has a slight decrease of 1.1 percentage points in the third quarter of 2014, compared to the same period of last year, mainly due to lower sales in the cement and concrete segments. In terms of the results by products, during the third quarter sales of cement, concrete and blocks reached S/.276 million, a decrease of 7.3% compared to the third quarter of 2013. Specifically, sales of cement decreased 4%, mainly explained by lower demand. Despite this, we have to mention that the gross margin for cement has increased from 47.7% in the third quarter of 2013 to 48.3% in the third quarter of 2014, as a consequence of the operational efficiency achieved. Sales of concrete decreased 27.4% in the quarter due to a decrease in sales volume and lower demand resulting from delays in public and private projects. On the other hand, sales of blocks increased 11.8%, driven by higher prices and higher sales volume. Also due to increased competition in the sales of steel, sales of construction supplies decreased 18% during the period. But it is very important to mention that the quicklime sales posted an outstanding increase of 120.3% during the quarter, mainly due to a higher sales volume. Despite the decrease in sales volume explained above, operating margins remained stable in the third quarter of 2014, compared to the same period of previous year, this was due to the company’s efforts to decrease administrative expenses. During the third quarter of 2014, operating expenses decreased 11.1%, compared to the third quarter of last year, mainly due to a decrease in administrative expenses of 15.5%, driven by lower personnel expense. This achievement is a result of a long term cost control and optimization program implemented since 2013. Finally, the net income was impacted negatively, mainly by an exchange rate loss during the quarter compared to the same period of last year, decreasing 17.1% in the third quarter of 2014. This was despite the fact the company has a dollar appreciation of approximately $210 million. It is important to mention that the consolidated EBITDA margins improved 0.7 percentage points increasing from 26.8% to 27.5% during the third quarter of this year compared to the same period of last year. In terms of CapEx as of September 30, the company invested S/.478.8 million, mainly are located to the new Piura plant, in which the company invested S/.421.5 million. For the remainder of 2014, we expect to spend approximately S/.166 million in the Piura plant alone. To conclude we will like to mention that we will continue to focus our effort on the strengthening our company’s operating result and competitive positive in the northern region, and executive investment initiatives that with a strong focus on long-term profitability. In 2015, we expect to capitalize on the economic recovery to continue to deliver strong results for our shareholders. This concludes my presentation. Thank you for your attention. Operator, we will begin with the Q&A session, please.
Operator: Thank you. At this time we will open the floor for questions. (Operator Instructions) and our first question comes from Felipe Ucrós from BTG Pactual.
Felipe Ucrós – BTG Pactual: Yes, good morning, and then thanks letting me to ask you questions. Just two questions on my side. The first one is whether we have a number for respective volume demand for the three infrastructure projects that you mentioned will begin construction in 2015, maybe if you can give it an estimate of what you would expect would be cement volumes in 2015 and then 2016? Also – I wanted to ask you, are there any other plant stoppages in the coming quarters, and if you can give us any updates on the progress with the expansion of the new plant. Thank you.
Humberto Nadal Del Carpio: Yes, I will answer your first question and then I’m going to ask you, you can please refer the third, probably because like I didn’t get it. We expect volumes around 300,000 tons for the projects we mentioned. In terms of stoppages of the plants, I mean, once Piura goes into production, we will operate the unit – with a multi-plant criteria, basically meaning the most efficient things will operate first, but at this I mean, there should not be any more stoppages like what we have done in the last quarter. And then I want to ask, please, if you can repeat me the third part of your question.
Felipe Ucrós – BTG Pactual: Yes, sure. We just want to see the – it’d be nice to give the progress – an update on the progress with the expansion of – with the new plant?
Humberto Nadal Del Carpio: Sure, expansion of the new plant, like I said, I mean, we remain on budget and on time. We always have stated we should be in production by the second semester of next year. And at this point, I mean, if you start by Piura, you consider the plant is really up. I mean all the important equipment is already on site. We are proceeding at full speed with mounting and everything. I mean, the equipments are already up. The interchangeable tower is already up. So I think we have no reason to think there should be any delay or there should be any other reason (inaudible).
Felipe Ucrós – BTG Pactual: Excellent and the 300,000 that you expect for the three projects you mentioned. You expect that to be spread across how long of a period, three years?
Humberto Nadal Del Carpio: Over two years, that is, I mean, of course, we don’t have the crystal ball, but I mean if the projects remain on time as our Piura project, it should be spread over 2015 and 2016.
Felipe Ucrós – BTG Pactual: Okay. Great. Thanks for the time.
Humberto Nadal Del Carpio: You’re welcome.
Operator: Thank you. Our next question comes from Dario Valdizán from Onex [ph].
Unidentified Analyst: Good morning. Thank you very much for taking my questions. Really quick, I just wanted to see if something that I heard, I think you mentioned there was the volume decrease on the cement sales was 12% year-on-year. And also could you explain how much the quick-volume actually increased doing, my first question? Then I wanted to ask you, I was a little bit puzzled by the consumption of clinker. It seemed quite high, 139,000. When you consider the last year, you had a 13% decrease on your clinker production due to the stoppage, but you had only a flat decrease year-on-year last year. Now this year you have 9% decrease in cement but you still have a high consumption of clinker. So I was kind of puzzled about that, if you could help me understand that better. And last, if you could give me a little more color the extraordinary performance of that Rioja plant. I mean, the system on the quarter, year-on-year Peruvian production decreased minus 0.1% and national dispatch certain minus 0.03% and this plant was able to grow 9%. That’s very impressive and I wanted to get a little more detail on that. Thank you.
Humberto Nadal Del Carpio: Yes, okay, Dario, thank you for your questions. It was mentioned that the total sales volume of cement decreased 6%. That’s considering concrete and cement. Only the cement was 4.1%, okay. On the second one, the reason why cement sales, which increasing the sales of about 9% because last if you see the Piura – the Pacasmayo plant has decreased its production, because last year we were severing some areas of the selva or the jungle, from our Pacasmayo plant.
Unidentified Analyst: Okay. Perfect. Okay.
Humberto Nadal Del Carpio: And that answers your question?
Unidentified Analyst: No, that helped to understand. So you were to break-down, I’m sorry – you see a little more clarity. So you were to break-down that 9.7% decrease on the Pacasmayo plant, between three parts, the Rioja plant, they are no longer producing. The stoppage and then the decrease on demand, how will you break down that 9.7% decrease, if you get an understanding on the impact of the variables?
Humberto Nadal Del Carpio: No, I don’t have the numbers right now. I can call you later, please.
Unidentified Analyst: Yes, no problem. Thank you very much.
Humberto Nadal Del Carpio: Thank you.
Operator: Thank you. Our next question comes from Eric Neguelouart from Merrill Lynch.
Eric Neguelouart – Bank of America Merrill Lynch: Hello, guys. My question is regarding prices, cement prices. Do you have any price increases scheduled for the end of the year? And if not will your approach during 2015 be more aggressive to kind of – overcome the effects of 2014? Thank you.
Humberto Nadal Del Carpio: We did price increase of 2% on the first part of the year. This point we don’t foresee any further increase for the remaining months of the year for sure. Our idea is to be more aggressive on the coming year.
Eric Neguelouart – Bank of America Merrill Lynch: Okay. Thanks.
Operator: Thank you. (Operator Instructions) And our next question comes from Sona Sodi [ph] from PIMCO Global Investments.
Unidentified Analyst: Yes, hi. Thanks for taking questions. Just wanted to get a sense on full-year volumes and what kind of growth are you expecting for the full year, that you can sort of give me a sense of your fourth quarter and if you could sort of within that give me more color how you’ve begun the fourth quarter.
Humberto Nadal Del Carpio: We are targeting at this point with the result of our third quarter 1% increase.
Unidentified Analyst: Also, so the full year is looking at 1% overall growth?
Manuel Ferreyros Peña: Yes.
Unidentified Analyst: Okay. Okay. And in terms of pricing, so you said, you put in 2% for the first-half not doing anything, so would that work-out towards 1.5% overall on average increase?
Manuel Ferreyros Peña: More or less.
Unidentified Analyst: Okay. Okay. And in terms of just lastly on clinker, I want to understand what is sort of your estimated full year usage of clinker relative to last year, so – as you project forward. So I just want to get a sense in terms of how much of this increase in Rioja that has come through is leading to a decline in your clinker inputs. So if you could give me full year numbers of this year expected versus last year?
Humberto Nadal Del Carpio: If I understand correctly, your first, imported clinker, is that the case?
Unidentified Analyst: Yes.
Humberto Nadal Del Carpio: Since 2013, our consumption was 350,000 tons. This year are publishing a number close to 500,000 tons.
Unidentified Analyst: Sorry, this year, you’re expecting?
Humberto Nadal Del Carpio: Close to 0.5 million.
Unidentified Analyst: Okay. Okay. So – why is there no reason for the increased production from Rioja?
Humberto Nadal Del Carpio: No, the thing is, I mean, I didn’t answer the question before. You have to know that we operate two plants, Rioja and Pacasmayo. In the case of Pacasmayo, we have stopped all the (inaudible). Therefore, I mean, we have to use more imported clinker, I mean, this was a program stoppage looking forward towards the Piura plant. In the case of Rioja, Rioja is operating a full volume of clinker.
Unidentified Analyst: Okay. Okay. So that would – so that would stay and then it’d only get corrected once our new plant comes on board.
Humberto Nadal Del Carpio: That’s absolutely correct.
Unidentified Analyst: Okay. Got it, thank you so much. Thanks.
Operator: Thank you. At this we have no further questions. I would now like to turn the call back over to Mr. Nadal for closing remarks.
Humberto Nadal Del Carpio: Thank you very much. And I want to thank everybody for the continued interest in our and mostly trust in our company. We think like I said before, we had a difficult quarter in terms of the market. And the company is extremely focused on results. That’s why we feel that, I think a strong performance reducing and optimizing operating cost. As we being able in this kind of industry to keep multitude of the volumes that are out there. I think it’s quite commendable, and also looking forward towards Piura. I think all these builds up – builds the company to have a very important hike in margins once Piura operation comes in full in second semester of next year. I want to thank everybody and as usual Manuel, Claudia, and myself, we are always ready and more than willing to take any questions that you may have now and or any further point in the future. Thank you very much for your time.
Operator: Thank you, ladies and gentlemen. This concludes today’s teleconference. You may now disconnect.